Operator: Good morning, ladies and gentlemen, and welcome to the Trinseo Fourth Quarter and Full Year 2024 Financial Results Conference Call. We welcome the Trinseo management team, Frank Bozich, President and CEO, David Stasse, Executive Vice President and CFO, and B. Van Kessel, Senior Vice President, Corporate Finance and Investor Relations. Today's conference call will include brief remarks by the management team followed by a question and answer session. The company distributed its press release along with its presentation slides at close of market Wednesday, February 12th. These documents are posted on the company's investor relations website and furnished on a Form 8-K filed with the Securities and Exchange Commission. If anybody should require operator assistance during the call, please press star then zero on your telephone. I'll now hand the call over to B. Van Kessel. Thank you, Jael, and good morning, everyone.
B. Van Kessel: At this time, all participants are in listen-only mode. After our brief remarks, instructions will follow. Our disclosure rules and cautionary note on forward-looking statements are noted on Slide 2. During this presentation, we may make certain forward-looking statements, including issuing guidance and describing our future expectations. We must caution you that actual results could differ materially from what is discussed, described, or implied in these statements. Factors that could cause actual results to differ include, but are not limited to, the risk factors set forth in Item 1A of our annual report on Form 10-K or in our other filings made with the Securities and Exchange Commission. The company undertakes no obligation to update or revise its forward-looking statements. Today's presentation includes certain non-GAAP financial measurements. Reconciliation of these measurements to corresponding GAAP measures is provided in our earnings release and in the appendix of our investor presentation. The replay of today's conference call and transcript will be archived on the company's Investor Relations website shortly following the conference call. The replay will be available until February 13th, 2026. Now I would like to turn the call over to Frank Bozich.
Frank Bozich: Thanks, Steve, and welcome to our year-end 2024 earnings call. Before we get into our financial results, I'd like to highlight some of our outstanding safety achievements as we've had one of the safest summers in the history of the company this past year. I'm proud to announce that nineteen production and recycling facilities, all of our global R&D teams, and two site service teams received a triple zero award, which represents zero recordable injuries, zero spills, and zero process safety events for the entire year. With an injury rate of just 0.3, we continue to operate in the top quartile of companies in the American console and outperformed many of our peers. These results are a testament to the priority that we place on safety in everything that we do and a reflection on the dedication that our people have to creating a safe work environment. Moving on to our operational results, this past year saw a continuation and, in some cases, a worsening of many of the market challenges that the chemical industry faced in 2023. Geopolitical uncertainty, elevated inflation, and relatively high interest rates eroded consumer confidence across the globe, which adversely affected our largest end markets of auto, building and construction, and most significantly in Europe and China. Despite these macroeconomic challenges, we were able to improve our full-year adjusted EBITDA by $50 million because of the self-help actions that we've taken over the past couple of years. Amid these challenging times, our focus has been on executing actions within our control and aligned toward transformation strategy as we wait for the macroeconomic environment to inevitably recover. These included exiting our unprofitable and energy-intensive staggering inversion of polycarbonate production operations, consolidating several of our PMMA sheet operations, and rightsizing the company and its support functions based on the new operating footprint. We also implemented new supply chain systems and processes that enabled a greater than 20% reduction in days of inventory to a level that can be sustained through the cycle. Finally, we took actions to extend our near-term debt maturity to 2028 and greatly improved our liquidity. All of these actions have resulted in a more focused company. Compared to the first half of 2022 when we began these actions, our energy intensity has decreased by approximately 45%, our maintenance CapEx has decreased by more than 35%, and due to work process improvements and footprint reductions, we have reduced our total headcount by approximately 20%. These actions have allowed us to continue to make progress on our strategic initiatives and circular technologies. We continue to grow our recycled content containing product offerings with sales increasing 47% versus the prior year and representing now 4% of the total company variable margin in 2024. Sales volumes were higher to higher margin case applications continued to make up an increasing percentage of volumes in our Latex Binders segment, accounting for 11% of our total segment sales volumes and 18% of our total segment variable margin in 2024. And in our Engineered Materials segment, PMMA Resins sales and margins continue to show resilience as volumes increased 3% year over year, despite a very weak end market demand environment. We've also made significant advancements in our circular technologies. These include commissioning our polycarbonate dissolution pilot facility and opening our ABS dissolution pilot plant and our PMMA DIMM depolymerization demo facility in 2024. We anticipate scaling up the PC and PMMA technologies at a Row Italy site and the PC dissolution technology at our Xinjiang China site to support the growing demand from our auto clients. Next, I want to spend a few moments discussing our recently announced agreement with Deepak Nitrite Limited. In November, we agreed to supply a Polycarbonate license as well as all proprietary virgin polycarbonate production equipment from our Stad, Germany facility to Deepak for a combined total of $52 million. While the economics of producing virgin polycarbonate at our Stad facility have become unprofitable and led to our decision to exit that site, our polycarbonate technology remains highly valued, and the assets can still be utilized. We view this agreement as mutually beneficial to both companies and see this as the initial steps of a strategic and collaborative partnership with Deepak. We also see India as a significant growth market where Trinseo currently has minimal exposure. We believe in a base case scenario of at least 7% compound annual demand growth through the end of the decade in our target end markets. Before I hand the call over to Dave, I'd like to make a few comments regarding our fourth quarter results. Core business results were in line with our expectations as seasonally lower volumes and extended year-end shutdowns led to sequentially lower profitability. Following raw material prices resulted in significant negative timing impacts in our Polymer Solutions segment and at America's Styrenics. While this led to lower adjusted EBITDA than originally anticipated, the lower raw material prices led to lower working capital balances, which contributed to the highest quarter of free cash flow generation in over two years. Now I'd like to turn the call over to Dave.
David Stasse: Thanks, Frank. Before I get into fourth quarter results, I'd like to spend a few minutes discussing our new reporting segments. At the end of the third quarter, we announced restructuring measures that included combining the management of our engineering materials, plastic solutions, and polystyrene businesses. As a result, we made two substantive changes to our reportable segments to be more representative of this new structure and how we intend to operate the businesses going forward. First, the automotive compounding business that was previously part of plastic solutions has been moved into engineered materials. This was a natural move since we already have a smaller compounding business and significant automotive exposure within engineered materials. The second change is that we are combining polystyrene with the two remaining businesses in plastic solutions, ABS and SAN, and they're renaming the segment Polymer Solutions. I also want to highlight that in January, we closed on a transaction that increased our available liquidity by approximately $150 million and extended the maturity date of the $115 million of debt that was due in 2025 to 2028. Performance for this transaction, we ended 2024 with almost $500 million of available liquidity and no maturities until 2028. Moving on to financial results, fourth quarter adjusted EBITDA of $26 million was $6 million higher than the prior year and included a $9 million unfavorable net timing impact primarily in plastic solutions as styrene prices fell throughout the quarter. Fourth quarter results were also negatively impacted by an additional $15 million of unfavorable net timing at America's Styrenics due to falling raw material costs. Absent these headwinds, core business results were in line with expectations and improved versus the prior year for each of our operating segments. Engineered Materials saw the highest year-over-year improvement due to moderating input costs, improved PMMA pricing, and a 61% increase in volume sold into consumer electronics applications. Cash provided by operations during the quarter was $85 million, which resulted in free cash flow of $64 million. Now I'll turn the call back over to Frank.
Frank Bozich: Looking ahead to 2025, we do not currently anticipate meaningful demand recovery in our major end markets. Geopolitics have negatively impacted our business over the past three years, and we look forward to the resolution of some of the worldwide conflicts that have disrupted global trade flows and decreased European competitiveness. With this in mind, I'd like to give a brief update on the sale. We, along with our partner, remain committed to a focus on maximizing value. To this end, we expect an improved valuation environment later this year, which would result in assigning later than originally anticipated. We remain very confident that the sale process will be successful and we'll update the market once we have more clarity on timing. We expect the first quarter of 2025 to be sequentially better than Q4, following the pronounced seasonality and negative timing impacts that we experienced at year-end. We are seeing seasonally higher volumes to begin Q1 but still expect first-quarter volumes to be lower year over year due to continued weakness in automotive and building and construction end markets and in paper applications in Asia. As a result, we expect Q1 adjusted EBITDA of $60 million to $80 million, which includes a one-time $26 million contribution from the Polycarbonate technology license agreement to Deepak. I believe the actions we've taken over the past two years have positioned us well for an eventual market recovery. And the refinancing transaction, which we recently closed in January, gives us ample runway to continue pursuing our strategy. Now we're happy to take your questions.
Operator: Thank you. The floor is now open for questions. If you are called upon to ask a question and are listening via loudspeaker on your device, please pick up your handset and ensure that your phone is not on mute when asking a question. Your first question comes from the line of Frank Mitsch of Fermium Research. Your line is open.
Frank Mitsch: Hey. Good morning, folks. I want to follow up on Slide 14 in terms of the cash spends that you're expecting for 2025. You know, standing at $390 million. Frank, I believe, or perhaps it was David last quarter was mentioning a number in the low three hundreds in terms of the spending. I'm just curious as to where you're seeing the net cash expenditures pick up from what it was a few months ago.
David Stasse: Good morning, Frank. This is Luke. The only changes I would the only changes based on the last time we talked, we're talked about this figure, which is admittedly higher than it was last year, is in working capital. I mean, predicting working capital. The $40 million outflow of working capital is a function of really two things. We, you know, volume over the course of the year, which as Frank said, we don't. Yeah. We're not baking into our forecast anything of significance there. But also raw material price. So our working capital balances is, you know, at the end, you know, is the working capital inflow or outflow is really a function of our forecast of raw material prices at the end of the year, which look, admittedly, Frank, standing here February 13th is not making it out a little hard to predict. So that line item particularly is quite likely to change going forward. Cash taxes, my a little bit higher than what they were last year also, Frank. Last year, I think was more like $20 million. And that's just a function of higher profitability. So those are the only changes.
Frank Mitsch: Okay. Alright. That's I totally understand. And, you know, David, when you were talking about the negative timing impacts in 4Q, restraining profitability or restraining the EBITDA that was reported, you know, due to lower Styrene Monomer. Of course, that cuts two ways because you guys are now merchant styrene monomer purchasers. So I'm curious as to how we should think about the benefits that, I guess, you're seeing in 1Q from the lower styrene pricing. How would you factor that in to the overall profitability?
David Stasse: Yeah. Frank, a lot of you can imagine that a lot of our pricing on our styrene-containing products are indexed on the styrene index pricing. So it's generally a pass-through.
Frank Mitsch: Okay. Gotcha. Gotcha. Okay. So it's alright. Understood. And then I assume in terms of the delay on the AmSty sale from the first half of this year to the second half of this year, obviously, you guys are operating hand in glove with CP Chem. Correct?
David Stasse: Yeah. We're already close. Obviously, we're in close cooperation with our joint venture partner, and again, as I said, we anticipate, you know, an improved result from AmSty in a better valuation environment later this year.
Frank Mitsch: Gotcha. Thanks so much.
Operator: Your next question comes from the line of Matthew Blair of Tudor Pickering and Holt and Company. Your line is open.
Matthew Blair: Thank you, and good morning. Hopefully, you can hear me okay. I had two questions on the Q1 guidance. First, how much of an impact, if any, is embedded from rising European natural gas prices in the Q1 guide? And could you provide an update on any sort of hedges you might have for 2025? And then two, is there any assumption on net timing benefits in that Q1 guide?
David Stasse: Thank you. So, yeah, that's a great question. So there will be in Q1 a timing a pricing lag due to natural gas price increases and those input into mainly EM that are based on natural gas prices. So we would expect, you know, that or the current expectation is that, you know, the quarterly pricing that we provided at the end of last year for Q1 to our the input in cost increase from the natural gas prices and it's mainly an EM-related issue.
Matthew Blair: Matthew, as it relates to hedging, look, we've obviously been monitoring this very closely. We have been putting in hedges generally for the short term in the first quarter. The re you know, obviously, I'm sure you've seen the news or there's a lot of positive kind of speculation coming out of some resolution to the Ukraine situation. And a follow-on to that would be a potential reopening of supply from Russia to Europe with natural gas, which obviously I think would have a very deflationary effect on natural gas prices in Europe. So we do have some hedges in place for the first quarter of this year. It's less than 50%. And, you know, obviously, it's either the near-term prices are really impacted more by the weather than anything else, but also the, you know, looking longer term, we're watching the Ukraine situation closely and know, a little bit reddish in probably right now given that to put on any kind of long-term hedges in natural gas for Europe. I do also just Matthew, just want to point out, I mean, due to the, you know, we've exited our energy-intensive businesses in Europe, you know, to suit the two siding plants as well as polycarbonate. So the only real energy-intensive operation that we still have is MMA production in Italy. So our energy intensity has gone down considerably, you know, since the last time we went through, you know, it's about half of what it used to be. So the last time we went through this, the last time we had an energy crisis in Europe, our exposure was 2x of what it is today.
Matthew Blair: That's helpful. Thank you. And my follow-up, it seems like one of the bright spots in the quarter was in engineered materials. You mentioned the 61% increase in volumes into consumer electronics. Do you have any more details here? Was this the result of a new product launch? And maybe a one-time benefit or do you think this is something more sustainable? Thank you.
David Stasse: Yeah. So maybe just to I think one of the big things year over year was that you had a very low base in 2023 by comparison. So 2023 was the low year in consumer electronics, for many reasons in end consumer demand. So one, you're starting at a low point. But I'm really excited about the work that the team has done during the course of late 2023 and into 2024 to diversify our customer base. So I would generally say that our while this has been a really strong growth part of our business and one of the biggest areas for recycled containing products where we're selling into the consumer electronics area, it was a fairly concentrated customer base. You know, and these would be the larger brand names in consumer electronics and we've done a very good job diversifying our sales into new customers last year, and these are really bespoke products. It's not, you know, we're custom formulating a product with up to 60% to 70% recycled content for specific applications. And so for that reason, we think these are really resilient sales. And, again, the big driver the two big drivers are the year-over-year comparison as well as diversification of our customer base.
Matthew Blair: Great. Thank you.
Operator: Your next question comes from the line of Hassan Ahmed of Alembic Global Advisors. Your line is open.
Hassan Ahmed: Good morning, Frank. You know, question around guidance. You know, you guys are guiding to, you know, correlate midpoint of guidance, $70 million for Q1. I understand, you know, there's some moving parts associated with that. But if I annualize that, that's, you know, call it $280 million. You know, I mean, I know, you know, there are all these sort of macro uncertainties and the like, but how should we be thinking about 2025?
Frank Bozich: Yeah. Look. I mean, great question. And, you know, for the reasons that you said, you know, we're not we're reluctant to try and predict the full-year guide at this point. But look, we're very confident in continued positive earnings development in 2025, and the drivers are. You know, give you the buckets. So what we announced with Deepak, so $26 million of EBITDA contribution from the licensing agreement. The SG&A reductions that we announced last year in restructuring will give a full-year benefit of $25 million. The PC asset closure and then the subsequent sourcing agreements with that, as well as the new business awards that we've received in qualifying new customers are similar in magnitude to those previous two areas. And then lastly, I would point out that we would expect a much more normalized earnings contribution or EBITDA contribution from AmSty this year. And, you know, you could do the math, but over the past four years, EBITDA contribution for Trinseo from our participation in AmSty was $68 million and we would expect a contribution closer to that than the result we had last year. So, you know, those are the big buckets of contribution excluding market. The market, you know, whatever happens in the market. And so I would, you know, that's how I would think about it once you land your market assumptions on the underlying demand.
Hassan Ahmed: Very helpful, Frank. And as a follow-up, you know, we've seen a nice sort of rebound in the engineered materials sort of segment EBITDA margin wise. You know, I mean, last quarter it was 12% EBITDA margins. Now it's 10%. Which obviously year on year, you know, is a healthy sort of expansion. I mean, how are you now with, you know, all the moving parts and the changes we've seen in the macro thinking about normalized earnings and normalized EBITDA margins in that segment?
Frank Bozich: Yeah. I mean, Hassan, you know, we've been it's impossible for it's a new word, isn't it? I couldn't tell you what normal is. So what I can tell you is we're confident in our ability to show positive earnings momentum in the EM. I think we have a great portfolio. I mean, just as we talked about, you know, look at in last year's environment where we saw, I would say, generally, in many of our end markets, some weakening in demand. We were able to grow PMMA resin 3% in volume. The, you know, fantastic story in the growth that we've seen in our engineered compounds that go into consumer electronics. It's over 60% growth. And then the other thing that I would point to is these same customers are demanding there's significant pull from the market for recycled and circular solutions. And we believe we have a unique and leadership position in the recycle technology for ABS, PC, and PMMA that go into those end segments. And so, you know, those investments that we will continue to drive will give us continued momentum there. So I feel good about the work the team has done in EM, and you know, I think there's more to come.
Hassan Ahmed: Very helpful. Thanks so much, Frank.
Operator: Next question comes from the line of Laurence Alexander of Jefferies. Your line is open.
Laurence Alexander: So good morning. Three questions. Just one is on the search of the recycling, can you just give a sense for what your total or size of your platform is? In those products and how the margins compare with the balance of your business? And then can you touch on what you think the CapEx needs might be down the road, say over four, five years? If the recycling platforms are going to start to scale up.
Frank Bozich: So the volume of the recycled containing products for all of 2024, and I'm looking at B. Van Kessel and Dave to keep me, I think it was 4%. For the full year but it was growing as the year progressed. So I think that toward in Q4, it actually revenue. Our total total volume. The sales of recycled containing products grew as I said, over 40% last year. So we're seeing relative to our ability to supply and source the material we've see relatively unlimited demand. From our end customers. So the, you know, going to the CapEx this it's a really interesting and dynamic question on this. But these are these investments are not significant. They're either high single digit or low double digit million modules. So these are modular investments that we would make where we could install those at our various downstream plants and the investments depending, you know, again, we're it's early days, but it's high single digit to low double digit million per module.
Laurence Alexander: Okay.
Frank Bozich: Oh, and then you asked about margin premium. We're seeing in each of the areas that a sustainable offering or circular offering in PC, ABS, and PMMA as well as polystyrene in the multiple hundred dollar range, you know, are significant. Significant premiums over Virgin the Virgin premiums. Our Virgin markets.
Laurence Alexander: And so is it fair to say that the payback on any of the modular investments would probably be, like, one and a half, two years.
Frank Bozich: Yeah. It's pretty mature for you know, we're it's premature for us to for me to lean into that. I want to send any give you a real view on that, but we're seeing very positivity we see that these would be very positive IRRs. On these types of investments and, but again, it's early stages, and we're in the process of preliminary engineering, and we'll know more by the second half of the year.
Laurence Alexander: And then just lastly, could you just calibrate what you're hearing from your customers about further destocking or working capital efficiency initiatives and how much of that is baked into your outlook? In terms of being sort of a fairly steady demand environment?
Frank Bozich: Yeah. So I would generally say that we think their value chains have gotten pretty tight. We think that we've done a great job along in partnership with our customers to take any slack out of the supply chains. And we haven't heard of any significant additional initiatives where people would be looking to take inventory levels down. We haven't, you know, we haven't seen that. And I guess maybe this is the one data point that we are looking at from a longer term, you know, our midterm demand standpoint is what is, you know, let's talk about building and construction and automotive. Since 2008, there's been a deficit in North America and Europe in terms of new construction versus household formation. And so there's massive pent-up demand there. We think the value chains have largely, you know, they've become balanced. And then in automotive, while demand is weaker, it's a consumer confidence issue. It's not an inventory. We don't see it as an inventory issue, and in the medium term, we see the age of the we watch the age of the car park. And, you know, the data that I we just looked at this morning would tell us that in Europe, the car park the auto fleet is over twelve years old. Which is historically the highest level of age of the car park in North America. It's over twelve years. Which is one of the oldest fleets that I remember in my career. So yeah. I'm not we don't see a big drive, you know, to destock.
Operator: Your next question comes from the line of Roger Spitz of Bank of America. Your line is open.
Roger Spitz: Thank you very much. First, can you speak about the impact of tariffs, for instance? How much do you sell to Canada, Mexico, and or China directly from the USA?
Frank Bozich: Yeah. So on tariffs, we're thinking about tariffs in three dimensions. Okay? So dimension number one is, okay, what are we importing at? What are our purchases from countries that could be subject to import tariffs? And there we believe that impact will be negligible to us because the purchases are relatively small. And in the commodities that we're buying from those countries are in oversupply. So we have the ability to switch. To avoid the tariff. Switch our suppliers. The second dimension is where do we sell our products from the US production into countries where there could be retail tariffs. And I would just say in general, most of the by far, most of the US production is consumed in the US. Our exports from the US to Canada and Mexico represent low single-digit percentages of our overall sales, and 80% of those are in the auto value chain and we're highly specified into the tiers. So we don't necessarily believe that, you know, we will see an impact in terms of demand sitting here today, if tariffs were imposed on those sales. And then the third bucket or the third dimension, which is unknowable at this point, is what would be the end market demand impact on imposition of significant tariffs and, you know, there's a lot of uncertainty and we just don't know. At this juncture.
Roger Spitz: Thank you for that. My other question, looking at Slide 12 of the deck. For instance, the AR securitization, you have $50 million leftover of availability. Excuse me. Does that mean that I guess will come out with the queue, but are you drawing $100 million under the AR securitization or is there borrowing base limitations here?
David Stasse: Yeah. Hi, Roger. Good morning. It's Dave. So there's a borrowing base. So the amount we have to borrow against, obviously, the function of the receivables balance in the legal entities that participate in the program. The receivables balance was quite low, understandably, at the end of Q4. You know, just because of the seasonal seasonality of sales in the quarter. So our borrowing we were able to and so it's a $150 million facility. Almost always going back in time. We've had full availability based on the borrowing base. It happened to be particularly low at the end of the year. Because of lower seasonal volumes, but it but also lower prices. I talked about earlier that big drop in styrene prices. Right. So we're at we have $125 million at the end of the quarter able to be borrowed and there was $75 million drawn. I would expect that borrowing base will be higher in Q1.
Roger Spitz: Got it. Perfect. Thank you very much.
Operator: And your last question comes from the line of Alex Kelsey of Wells Fargo. Your line is open.
Alex Kelsey: Hey, guys. Thanks for taking the question. A couple follow-ups from, I think, what's been asked already. With regard to the EM segment, just now that there's automotive some automotive components in there as well, the $27 million reported in Q4, like, how much of that was, you know, pure EM versus auto? Of the $27 million.
David Stasse: Alex, there was always auto a pretty significant automotive exposure in engineering materials. In fact, auto and building and construction are the largest end markets for what I would call legacy engineered materials. So PMMA a lot of PMMA resin applications. I don't have a number for it. We'll have to get it up the percentage. You know, the automotive compounding business that moved into intended, you remember, we'll have to get that and give it to you offline.
Alex Kelsey: I just wanted to clarify what was the automotive compounding segment, not automotive in general. But okay. That's fine. We can follow-up. Another one on the license sale with your Indian partner, you just remind us the duration of that agreement? And then I guess the bigger question is, you know, if there is an expiration on that agreement to the extent that the, you know, license and technology is still valuable, can you enter into a similar agreement again? And then on the other question on that partnership is, you know, Frank, I think you mentioned, you know, the start of a strategic relationship with that partner. You just talk about what that means or anything else we should expect with them.
Frank Bozich: Yeah. So no. Thanks. That's a great question. Maybe let me give you a little color or a little more background on who Deepak Nitride is. Deepak is one of the largest Indian public companies in the chemical industry, they are the largest phenol acetone producer in India. And this is an attempt, you know, this is a move on their part to move downstream to forward integrate in these value chains because India is a net importer of polycarbonate. There is no domestic production as well. And so, you know, that's sort of their strategy, their sales are over they're a multibillion-dollar revenue company market cap of $4.5 billion. So they are a substantial company and have a great presence and cost position in the value chains we participate. So, you know, it's India's I in my career, I've had a lot of operations in India. It's a hard it's hard to get critical mass in India, so partnerships are important. And so having a substantial company that you're partnered with that gives you access to the market is important. And like we said earlier, in our downstream formulated products, we would see a high single-digit compounded annual growth rate in our end markets for our solutions. And, you know, it's a big opportunity for us going forward. So on the license, it's a perpetual license. We believe our, as I said in the script, we believe our polycarbonate technology is unique and one of the best technologies in the industry. It just didn't in Germany, it was disadvantaged but for a number of reasons, but elsewhere, it is a significant value. And then we have the option to expand the capacity with Deepak as well as provide other licenses in other geographies.
Alex Kelsey: Okay. Okay. That's very helpful. Two more for me if I may. On 2025, I understand lots of moving pieces and you're reticent to offer a true guide out there. If I just take, you know, the cleansing docs in the last transaction, 2025 estimate of, you know, $300 to $350 of EBITDA. As we sit here today, knowing what we know and don't know about the market, you know, do you think that those are still a reasonable goalpost for the year?
Frank Bozich: Yeah. I'm not we're not gonna give guidance for the full year or even bracket it, but what I would tell you because there's so much market uncertainty. You know, there's positives and negatives that are in development, you know, even over last night. You know, development. So it's I don't wanna bracket where we would end up, but I go back to the comments that I would make that I made, I think, for Hassan. You know, we're very confident in positive earnings momentum, and because a lot of the actions we've taken are well within our control in those buckets are what we talked about with the SG&A restructuring, the make versus buy decision in polycarbonate and the closure in Stadt as well as business wins. And then, again, more north earning contribution from AmSty.
Alex Kelsey: Right. And last one, if I may, just the status of cost cuts Frank or David. I think I think you mentioned $25 to be realized in 2025. Again, just looking at the old deck that was posted with the last transaction, was noted there was $80 million of cost outs to be realized in 2025. Can you just help me sort of bridge those numbers or more simply just kind of remind us, like, where you guys stand in terms of total cost outs from the various closures and the corporate restructuring, how much has been realized to date and what we should expect in 2025 and maybe in 2026?
Frank Bozich: Yes. See, we'll have to go back to you and try and I don't I'm not sure I could give you an answer to that question. What I'm very certain of is the incremental SG&A benefit from the actions that we announced late last year or $25 million. You know, the impact of polycarbonate, you know, is there we realized some of that, there's an incremental benefit from some of that. And, again, it's I'd have to we'll have to follow-up with you to give you a complete analysis of that. But what I would tell you is we've taken fixed costs down by well over $100 million over the past two years, and we're on track to deliver everything that we've announced. So please stay I don't know. I'm looking at Dave's answers that better than I did.
David Stasse: So, Alex, look. The actions that we've taken, we will get the full-year realization of savings in 2025 substantially, I mean, for the, you know, the headcount reductions, that the rest SG&A restructuring, that's $30 million. We got $5 million last year. We're getting incremental $20 million. So we'll get the full run rate of that this year. We'll also get the full realization of the polycarbonate savings. Obviously, the styrene stuff was done years earlier, so we're already seeing the full effect of that in 2025.
Operator: Thank you. We have time for one more question. Comes from the line of David Begleiter of Deutsche Bank. Your line is open.
David Begleiter: Thank you. Just a couple of questions. You know, back to guidance and I'm sorry, but one more try. In Q1 ex the Polycarbonate agreement, you're looking about mid-forties EBITDA. The last two years, you've seen a progression of roughly $20 million sequentially higher in Q2. Get to do about mid-sixties for Q2. Is that a good run rate? Is that a good proxy at least directionally speaking for Q2 versus Q1, perhaps mid-sixties versus, you know, who we are right now.
Frank Bozich: Yeah. David, thanks for the question. The actually Q1 is somewhat more depressed than normal because it's been a slower start to the year than typical. And then I would also say that we have pricing lag in Q1 that's not immaterial mainly in EM. Because we've been providing quarterly pricing. We price the product our products to our end customers at the end of Q4. And the, again, it's very volatile, but input caught a lot of the input costs in the EM in Europe are based on natural gas price. that are based on TTF. And the TTF is going up and those related products have gone up with them. So that we're seeing today we see some pricing lag that would not be recurring after Q1. So I would say, yes. I would agree with you, Q2 and Q3 will be an improvement over Q1, but, you know, it would not I wouldn't compare it to prior year simply because we're seeing more pronounced a more pronounced slow start to the year, and then we hit the pricing lag.
David Begleiter: Understood. And just on polystyrene, are these assets core now to Trinseo?
Frank Bozich: No. We, you know, our polystyrene assets are great assets. They're actually, you know, we've done a great job managing those in the past couple of years. To optimize the free cash flow generation of the assets, but, you know, we believe that other people could would be investors would invest in the growth of those assets. And we continue to feel inbounds and work with potential buyers for those assets, but on an individual basis around the world. And there's nothing to report, but again, there's activity and interest. So we would continue to explore the possibility of selling those individual assets not doing that.
David Begleiter: And just one last thing. On AmSty, is it fair to say the process sales process has been halted? If it is has been halted, when was it halted?
Frank Bozich: It's not halted. Tom, you know, we're as I said, we're working in conjunction with our partner, we and, you know, our goal is to monetize our interest in AmSty and we will continue to progress that. But we want to time our process to optimize value. You know. And, you know, so that just means a later marketing than we had originally just fitted.
David Begleiter: Thank you.
Operator: With no further questions, that concludes our Q&A session. We thank you for your participation. This concludes today's conference call.